Operator: Greetings, and welcome to the VSE Corporation First Quarter 2023 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Michael Perlman, VP of Investor Relations and Communications at VSE Corporation. Thank you, Mr. Perlman, you may begin.
Michael Perlman: Thank you, and welcome to VSE Corporation's first quarter 2023 results conference call. Leading the call today are John Cuomo, President and CEO; and Steve Griffin, Chief Financial Officer. The presentation we are sharing today is on our website and we encourage you to follow along accordingly. Today's discussion contains forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including risks described in our periodic reports filed with the SEC. Except as required by law, we undertake no obligation to update the forward-looking statements. We are using non-GAAP financial measures in our presentation. The appropriate GAAP financial reconciliations are incorporated into our presentation where available, which is posted on our website. All percentages in today's discussion refer to year-over-year progress, except where noted. At the conclusion of our prepared remarks, we will open the line for questions. With that, I'd like to turn the call over to John.
John Cuomo: Thank you, Michael. Welcome everyone and thank you for joining our call today. Before we begin, I would like to review yesterday's announcement, one that represents a major milestone in our company history. Let's go to slide three of our conference call presentation to review the transaction in more detail. Yesterday, we announced the sale of the Federal and Defense segment. This transaction represents a defining moment for VSE as it streamlines and repositions the business into a two segment pure-play aftermarket business supporting Aviation and Fleet markets with MRO and distribution capabilities. More specifically, the company entered into a definitive agreement to sell the Federal and Defense business segment to Bernhard Capital Partners for up to $100 million in total cash consideration, including a $50 million cash payment and an earn-out of up to $50 million subject to the achievement of certain milestones. The transaction is expected to close in late 2023 to early 2024 and is subject to customary closing conditions and approvals, including the creation of a legal entity with appropriate security clearances to support the transition of the business to Bernhard Capital Partners. The net proceeds from the transaction are intended to be used to reduce borrowings, provide balance sheet optionality, and execute strategic inorganic opportunities. The decision to sell the business concludes the strategic review undertaken by the Management Team, and Board of Directors in response to market and business dynamics with the goal of driving shareholder value. With this repositioning, VSE will become a 100% pure-play aftermarket business. This allows us to do three things: First, simplify the company to a two segment business, Aviation and Fleet with focus, distribution, and MRO service offerings. Second, tailor capital allocation strategies to the high growth Aviation and Fleet aftermarket segments to drive long-term shareholder value. And third, deepen operational focus and accountability and increase our agility to meet customer needs. We believe this creates a distinct and compelling aftermarket services investment profile, one which will appeal to a broader and deeper investor base. We have found our Federal and Defense business, an outstanding home with Bernhard Capital Partners, a high-quality private equity sponsor, one who will enhance the business strategy and build upon a rich 63-year history of government and defense mission-critical support. Let's now move to slide four, where I will provide an update on the business and the strong first quarter performance by our Aviation and Fleet segments. We are off to a tremendous start to the year, as strong market tailwinds combined with operational execution and service excellence resulted in double-digit year-over-year revenue growth in both our Aviation and Fleet segments. Within our Aviation segment, we continue to see robust demand across all end markets and particularly strong activity and growth in MRO, driven by market share gains and strong flight activity. We also benefited from expanded MRO capabilities and new programs in both our Kansas and Miami repair facilities. During the first quarter, we completed the acquisition of Precision Fuel Components, a provider of MRO services for engine accessories and fuel systems, that business integration is underway with the expectation for completion in the second-half of this year. We experienced growth and performance excellence within our strategic distribution programs, including the ramp-up of the Asia Pacific geographic expansion of our 15-year distribution agreement with Pratt and Whitney Canada. Within our Fleet segment, we opened our new 450,000 square foot distribution and an e-commerce fulfillment center in Memphis. This new facility supports growing demand for aftermarket products across our commercial fleet and e-commerce customers. The facility launched in January with both the new IT ERP and a new warehouse management system. Parts are shipping to customers with increased output daily as we drive to scale the business to contribute approximately $50 million in 2023 revenue. The Fleet segment also benefited from strong Postal Service demand in the first quarter, due to the delay and legacy vehicle retirements, and an increase in the overall installed vehicle base. Both the Aviation and Fleet segments continued to gain market share in the fragmented markets in which they serve and to deliver to customers with operational excellence, all while delivering improved results. Now let's move to slide five. We delivered strong first quarter results highlighted by a 10% increase in revenue of 46% increase in net income and an 18% increase in adjusted EBITDA, as compared to the prior year. Our Aviation segment posted a record quarter with revenues of $113 million, a 21% increase year-over-year with balanced growth across both commercial and business and general aviation customer segments and both distribution and MRO revenue channels. Adjusted EBITDA for the segment of $19 million increased by 75% versus the prior year, yet another record for this business segment. Aviation segment adjusted EBITDA margin increased by approximately 510 basis points year-over-year to 16.8%. Aviation segment adjusted EBITDA represented 72% of total company first quarter adjusted EBITDA versus 49% in the same period in the year prior. Our Fleet segment also achieved record revenue in the first quarter, increasing 12% to $75 million in the first quarter, driven by growth across all end markets. Commercial fleet revenue increased 17% year-over-year and now represents 43% of total fleet segment revenue, a 160 basis point increase over the same period in the prior year as we proactively diversify our customer base. As planned and previously communicated fleet segment adjusted EBITDA declined 7% on a year-over-year basis driven by startup costs supporting the newly launched distribution facility. Finally, our Federal and Defense segment contributed $67 million of revenue in the first quarter, down 6% as compared to the same period in prior year. Federal and Defense adjusted EBITDA declined primarily, due to the continued shift from fixed price to cost plus contracts along with contract expirations. The strong first quarter results continue to validate and support the VSE strategic shift to higher growth, higher margin, commercial MRO, and distribution capability offerings. I will now turn the call over to Steve for a detailed review of our financial performance. Steve?
Steve Griffin: Thanks, John. I will now turn to slides six and seven of the conference call presentation to provide an overview of our first quarter performance. We had a strong first quarter in both our Aviation and Fleet businesses, driven by increased demand in end markets. We recorded $255 million of revenue, an increase of 10% versus the prior year period. Aviation recorded another record quarter, driven by organic growth from the execution of new distribution awards, continued recovery of commercial MRO activities, and strength in commercial and business, and general aviation end markets. Fleet segment growth was supported by commercial fleet and e-commerce fulfillment together with higher contributions from the United States Postal Service. Federal and Defense segment revenue was lower driven by the completion of certain U.S. Army contracts, partially offset by growth in the U.S. Navy programs. We generated $26 million and $11 million of adjusted EBITDA and adjusted net income, an increase of 18% and 16% respectively. Now turning to slide eight, we'll cover our Aviation segment results. Revenue increased 21% versus the first quarter last year to a record $113 million both distribution and MRO businesses grew up 14% and 43% respectively. Distribution growth was driven by a combination of new business and improved end market activity. MRO benefited from both higher commercial flight activity as it continues to track towards pre-pandemic levels and expanded capabilities in our core repair facilities. Aviation adjusted EBITDA increased by 75% in the quarter to $19 million, while adjusted EBITDA margins increased by 510 basis points to 16.8%. The improvement in profitability was driven by the implementation of new program wins, robust MRO activity, and favorable mix and price. Within our Aviation segment, we are narrowing our full-year 2023 revenue guidance range from 7% to 15% to 10% to 15%. We are increasing our full-year adjusted EBITDA margin guidance from 12% to 14% to 13% to 15%, driven by increased higher-margin product mix, continued MRO activity, and strong commercial customer demand. Now turning to slide nine. Fleet segment revenue increased 12% versus the first quarter last year to $75 million, driven by higher commercial sales and e-commerce fulfillment, along with increased USPS demand. Total commercial revenues were $32.5 million in the first quarter, an increase of 17% versus the prior year period. U.S. Postal Service revenue was up approximately 14% versus the first quarter of last year, which is included within our other government channel. Segment adjusted EBITDA of $8 million decreased by 7% and adjusted EBITDA margin declined by 220 basis points versus the first quarter of 2022. Our profitability was lower as a result of $950,000 of startup-related expenses for our newly launched Memphis, Tennessee facility at a higher mix of commercial customers. For the full-year 2023, we are reaffirming our revenue growth expectations of 12% to 20% year-over-year, driven by contributions from commercial revenue and the recent Memphis facility launch. We also continue to expect adjusted EBITDA margins to be between 11% and 13% and anticipate margins to continue to be at the low-end of the stated range in the first-half of the year as we ramp up production at the new Memphis facility. Now turning to slide 10. Federal and Defense segment revenue decreased 6% versus the first quarter of last year, driven by the completion of certain US Army contracts, partially offset by growth in U.S. Navy programs. Federal and Defense adjusted EBITDA of $600,000 in the first quarter was down 83% year-over-year. Adjusted EBITDA margin declined 430 basis points on a year-over-year basis to 1%, driven by contract mix and completions. Between now and the closing of the previously announced sale of the Federal and Defense segment to Bernhard Capital Partners, we remain focused on driving shareholder value and preparing for the carve-out of this business. You should expect to see the business moved to discontinued operations as it is held for sale. Between now and the consummation of the transaction, the VSE and BCP teams remain focused on winning new awards to drive longer-term value for the business. Turning to slide 11. At the end of the first quarter, we had $93 million in cash and unused commitment availability under our $350 million credit facility. For the quarter, we used $49 million of operating cash flow and $52 million of free cash flow driven by previously announced initial inventory investments to support the successful execution of recent aviation distribution awards and commercial growth at our Memphis distribution facility. To-date, we have spent $40 million of our estimated $70 million to launch these two initiatives and expect the remaining $30 million to be paid in the second quarter. At the end of the quarter, we had total net debt outstanding of $351 million and trailing 12-months of adjusted EBITDA of $96 million. Net leverage was 3.7 times at the end of the first quarter. We still anticipate net leverage to approach 4 times in the second quarter before improving in the second-half of 2023 through improved profitability and free cash flow generation. With that, I will now turn the call back over to John for his final remarks.
John Cuomo: Thank you, Steve. As we enter the next phase of VSE's transformation, we are excited about the opportunities for our Aviation and Fleet segments and for all that is ahead for our Federal business with Bernhard Capital. Our focus remains on driving sustainable, profitable growth while enhancing the operating performance of these two businesses. I would like to conclude our prepared remarks by reviewing our key priorities on slide 12. First, to complete the sale of the Federal and Defense business, the sale will allow us to simplify our operations and drive even greater focus on addressing the distinct needs of our two core businesses, Aviation and Fleet. During the transition, we plan to ensure a smooth and successful hand-off for our employees and customers to Bernhard Capital Partners. Second, to reposition the business into two segments focused 100% on aftermarket distribution and MRO services supporting Aviation and Fleet customers. Third, to expand our full-service unique product distribution in MRO capabilities within high growth, underserved portions of the aviation aftermarket. We remain focused on offering a bespoke solutions-oriented approach that addresses every ever-changing need of our customers. Fourth, to drive commercial growth while supporting legacy programs within our Fleet business. This includes scaling our newly launched distribution and e-commerce fulfillment center to address robust commercial fleet customer demand and supports both legacy and new U.S. Postal Service Vehicles. And finally, to deliver second-half 2023 positive free cash flow, driven by disciplined cash management. I'm incredibly proud of what the team has accomplished and how they serve our global customers each day. And I am excited about all the opportunities ahead. Operator, we are now ready for the question and answer portion of our call.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Michael Ciarmoli with Truist. Please sir, go ahead.
Michael Ciarmoli: Hey, good morning, guys. Thanks for taking the questions here and nice start to the year. Hey, John, what -- I guess looking at the strong results, the guidance increase, I guess what really changed in the last two months. And maybe I'm nitpicking a little bit, right? You put up really strong aviation growth and EBITDA margins, but it does seem like the guidance still implies a step down, kind of, from the current levels? And you kind of talked about improving end markets, but maybe just some color on what kind of came through in the quarter and then kind of how you constructed this guidance for the rest of the year because it does seem like the margins will definitely kind of step back down I guess to that, call it 13% range or so mid 13s even to get you kind of that lower end.
John Cuomo: Sure. Steve, you want to talk a little bit about guidance, and then I'll talk about the market.
Steve Griffin: Sure. So, Michael, as you know, we -- when we came out in the first quarter, we did note that we had a more bullish or I'd say more bearish estimate in terms of end-market activity. I think what we've seen through the first quarter, is stronger results including some continued strength in business and general aviation. And then second to that, I would say, we've had a really strong performance in our MRO shops. I think you can see the near 40% increase in revenue that increased demand has helped to fuel some of the margin improvements across the business. Last thing I would say that has been a benefit, maybe versus our prior expectation is there has been some benefit associated with product mix and price. So, as we kind of start the year, we have some opportunity to optimize pricing that has been a tailwind to us is going to help the first quarter and maybe start to level off as we look towards the second-half of the year. And hence, you can see sort of the lower expectations on the margin performance later in the year. That said, it's still very performed -- very pleased with the performance of the business and really do look forward to seeing it play out over the course of the year.
Michael Ciarmoli: Got it. And then, John, maybe you want to maybe talk about the strength of the market?
John Cuomo: Yes. So, from a market perspective, I think that a couple of things. I think the business in general aviation is continuing to perform strong, our MRO operations are quite robust and backlog is strong and the year has started out very strong. As we've continued, we've stated over the last two years as we saw commercial MRO start to recover, we would see that margin inflection point in the business. And I think that's why you say what really happened, that's a piece of it. And then candidly prices are peaceful, I mean, I think we were all to show a few weeks ago, and you saw that level of activity and discussion around price, which is something that people don't continue to talk about, but there obviously is an element of that that drove some of the margin improvement in the quarter.
Michael Ciarmoli: Got it. And then you called out I think in the prepared commentary just maybe, kind of, some pickup expanded capabilities out of Miami and Kansas, did that contribute meaningfully in the quarter? Are you picking up share in certain areas with those capabilities?
John Cuomo: Yes. More in Kansas, its share. We've got some work in Miami that we launched initially, but I haven’t say it's material to the quarter yet. You'll start to see more of that pickup back end of ‘23 or early into ‘24 and we announced that exclusive agreement with Honeywell to repair some avionics, but in our Kansas facility, we did have some share gain and a new program that also help contribute to the strong quarter.
Michael Ciarmoli: Got it, got it. And then last one for me and I'll get out of the way. Steve, you mentioned on the cash, obviously, we've got the inventory investment sounds like cash will be under pressure next quarter, but I guess longer term as we look out -- how are you guys thinking about normalized cash conversion for this business, obviously you've got distribution. So, you're always going to be investing and carrying inventory. So, it might be tough to convert at 100% or better. But how should we sort of calibrate ourselves for longer-term cash conversion in this business?
John Cuomo: Yes, I think it's right to point out the distribution nature of the business and what I would say is, this year is an anomaly, because if you remember the $70 million of investment $50 million of it is tied to the new facility launch for wheeler, which is very much so something that we will not need to repeat in the future as we grow that business more stable going forward. We haven't necessarily given guidance yet as to which you should imply for longer-term cash flow conversion. But what I would say is that as we start to gain scale, we expect to be able to generate strong free cash flow on the existing investments in the business in the last three years of investment, whether it be in the Aviation business or in the fleet business are not indicative of what we've expected to do on a go-forward basis, because those were such sizable investments, but we will remain opportunistic as we seek opportunities to grow distribution, especially in spaces where we believe we can get strong margin profile going forward.
Michael Ciarmoli: Perfect. Thanks, guys. I'll jump back in the queue.
John Cuomo: Thanks, Mike.
Operator: Our next question comes from Ken Herbert with RBC Capital Markets. Please go ahead.
Ken Herbert: Hey, good morning, John and Steve.
John Cuomo: Good morning, Ken.
Steve Griffin: Good morning.
Ken Herbert: Hey, nice quarter. I wanted to maybe first start on the Fleet segment. It seems like a bit of an opposite discussion relative to Aviation the guidance implies some gradual margin improvement. How do we think about margins within Fleet sequentially into the second quarter, do you see sort of much acceleration there? And then how does this progress through the back half of the year?
John Cuomo: Sure thing. So, we tried to be pretty specific. So, you can see where the margin is today and what the associated expenses were for the start-up of the new facility. And in the guidance range, we've given on that 11% to 13%, we've kind of clearly stated that the second quarter you should expect it to be towards the lower end of that range, with improvement towards the back end of the year on the higher end of that range, so that should give you some assumptions to use in terms of how to think about it. And really just behind the math really what you're thinking about Ken is that new facility, we've got people, we've got new systems, that are really just getting started. So, getting the training completed, getting our employees really up and running, and then they'll drive scale and drive revenue growth, which allows us to generate a stronger earnings profile in the back half of the year. So, that's what's going to drive the majority of the margin improvement in the business. And then underlying is -- sort of is the -- also the notion of commercial versus some of our other government channels in terms of the product mix. But in general, what you're going to see is improvement out of the Memphis facility driving improved margin rates in the back half of the year.
Ken Herbert: Okay, very helpful. And as we think about the Memphis facility in the $50 million, sort of, incremental revenues, if you think about this facility and investment longer term what -- like where will you be in terms of utilization out of this facility? How much more upside could there be of the existing footprint into ‘24 perhaps? And just how do we think about the run rate then exiting the year considering the investments and the growth you're seeing this year on the facility?
Steve Griffin: Yes, Ken, we talked about this with our Board yesterday, it's about -- I'd say it's about 20% to 25% of the utilization and that's without considering weekend and night shifts as well. So, we have a tremendous amount of upside. We really focus on the near-term, it's about scale. The demand is there, we need to make sure that we can perform specifically when you're dealing with aftermarket e-commerce most of that is booked and shipped the same day. So, the quality of the performance is important. So, what we're doing is, in my prepared remarks, I kind of alluded to it, we're really kind of managing the demand and each day focusing on increasing that demand as the teams can handle the work.
Ken Herbert: That's great, very helpful. And then just, John, if I could, finally, on aviation, as you look at the either within the Business GA market or commercial transport and you look at your distribution business, are there any concerns that inventory levels at either airline or Fleet levels could be inflated? Just as a result of a lot of the risk aversion by your customers to the supply chain pressures and disruptions and everything we've seen? And that then could we maybe see some risk to some of the distribution volumes, if things ever do slow on aviation, or how would you think about or talk about inventory levels at your customers within Aviation?
John Cuomo: Yes, I think it's interesting, I had a lot of these conversations at the MRO Show a few weeks ago. I think for our specific business and our products, we don't see that. We're very focused on higher-end technical products are expensive, and our customers are not heavily stocking the products. The second thing is, our performance has been so strong and stronger than some of the incumbents, and which we've taken the business from that it's also allowed some of our airline and aftermarket customers to destock a little bit lower their inventory levels. So, we don't see that as an issue where we need to focus is making sure that the supply chain allows us to continue to get the products and that were stocked appropriately to manage the demand.
Ken Herbert: Excellent. Alright. Well, nice quarter, and great news on the divestiture. Thanks, guys.
John Cuomo: Appreciate that, Ken. Thank you.
Operator: Our next question comes from Louie DiPalma with William Blair. Please go ahead.
John Cuomo: Good morning, Louie.
Louie DiPalma: Good morning to you, John, Steve, Michael, and Tarang. For you John, with the defense division pending sale, are you still interested in any aviation aftermarket services specific for the defense vertical and does the divestiture also include the Heico special services from assets that you acquired a few years ago?
John Cuomo: Yes. So, that was -- it was Heico special services, not Heiko. But that business is the KC-10 heavy maintenance MRO program and that business with the past performance and the team is part of the Federal and Defense business. So, our Aviation business today is in MRO and distribution business, we are mostly commercial and business, and general aviation. We do support Defense customers within our business today. It's not the most core component of our business, but they are our customers and we do continue to expect to serve those markets in our existing aviation business today.
Louie DiPalma: Great. And either for you, John, or Steve. Should this deal with the potential $50 million or $100 million in proceeds should it increase your appetite for M&A post-close?
John Cuomo: Absolutely. As we've previously stated, our Fleet business is very focused, as I've just discussed with the last question on scaling that new distribution facility and growing our commercial and e-commerce business and we see a tremendous pipeline with the organic investments that we've made in that business, but we have a deep pipeline of inorganic opportunities in aerospace both in distribution and in MRO, and finding the right assets is important that makes sense for the business. But we are -- and we do have an active pipeline of potential acquisitions.
Louie DiPalma: Great, great. And one final one is the difference between the $50 million in consideration and the $100 million mostly predicated upon renewing the Navy foreign military sales contract or are there other important milestones that we should be paying attention to?
Steve Griffin: Yes. Louie, we're not going to necessarily publicly state all of the different milestones, but I think it is correct to state that the earn-out is tied to milestones associated with new awards, but at this point, I don't think we're ready to share the details of it. We're going to be happy to share more as time progresses here and we worked through the process of getting to closing and setting up the entity as John referenced.
Louie DiPalma: Excellent. Thanks, Steve, John, and everyone.
Steve Griffin: Yes. Thank you, Louie.
John Cuomo: Thanks, Louie. Good to hear from you.
Operator: Our next question comes from Jeff Van Sinderen with B. Riley Securities. Please go ahead.
John Cuomo: Good morning, Jeff.
Jeff Van Sinderen: Good morning, everyone, let me add my congratulations as well. Maybe you can speak a little bit more about what drove the strength of the USPS business, do you see a sustainable trend for growth there? And then maybe just comment on the outlook for the new Gen vehicle area?
John Cuomo: Sure. Yes, the USPS strength I think was coupled with two things. Number one is the announced delay of the NGDB delivery until 2024. And the size of the fleet has grown and is expected to continue to be a larger fleet. So, we look at now the new installed base of vehicles. And for the next call, we'll have a little bit more detail on what we think that number will look like and what the percentage increase will be as we get little more clarity from the Postal Service customer, but we do expect the installed base to be increased, we expect retirements to be slower and we do see -- I wouldn't say the sustainable growth trend, but we do see -- again we've called this business like an annuity-type business and we still look at it very much that way but very pleased to see the strong quarter from the customer as well.
Jeff Van Sinderen: Okay, good. And then just kind of wanted to get a sense, I guess of what's left to do on the integration of Precision Fuel at this point?
John Cuomo: So, yes, we acquired the business at the end of January, and as we've discussed our integration model is a fully integrated model, so integrating the core home back office and full system integration. So, the systems integrations we kind of take the first 90-days to learn the business, learn the capabilities, learn how they go to work, rather than kind of forcing them into our systems that work has been done and would say probably in the third quarter, you'll see the systems be fully integrated.
Jeff Van Sinderen: Okay. And then, just wanted to circle back and don't need to press on this, but just as we think more about potential acquisitions, particularly in the aviation area, now that you've got the FDA's decision somewhat behind you. Are you seeing it get easier or harder to come to terms on potential deals, I guess, any thoughts around that?
John Cuomo: I believe that the market is more robust than it was a year ago. I think there was an element of waiting for commercial aviation recovery, I also think as a strong public company buyer someone with a team, who has a history both at this company and at the company that we've worked on in the past of transacting in a fast and efficient and providing deal certainty in uncertain markets like today, it gives us an advantageous position in this market.
Jeff Van Sinderen: Okay, great. Thanks for taking my questions. I'll take the rest offline.
John Cuomo: Thank you. Speak to you later.
Operator: Our next question comes from Josh Sullivan with The Benchmark Company. Please go ahead.
Josh Sullivan: Hey, good morning.
John Cuomo: Good morning, Josh.
Josh Sullivan: I mean, obviously, we hear a lot about tight MRO markets broadly, what do VSEC slots or turnaround times look like between PG&A in the commercial aftermarket at this point?
John Cuomo: Yes. We don't really slot so much. I mean it's not like a shop visit in the same way that you might think of sort of like a whole aircraft or engine coming in. Because we work on more smaller piece of our components. But turn times, I'd say are in line with the industry norm. So, in a lot of cases, our work is -- can be in some cases 15 days to 30 days, it's usually within a shop as a timeframe. And I'd say that it's continuing to be pretty tight, I mean that's what's driving some of the opportunities we were able to drive. We're driving a lot of throughput through our facility today and hence the 40% growth that you've seen but overall, pretty tight, pretty packed in the shops, but turn-times are exactly where we would expect them to be.
Josh Sullivan: And then just on the Memphis distribution facility maybe where you had a schedule and maybe what's taking a little more thought.
John Cuomo: I'd say we're right on schedule. We put a pretty aggressive plan in place. Last year, we realized we were at capacity, probably early in the first quarter. So, by the second quarter of last year, I think was actually May, almost 12 months ago, we actually made the decision to launch that facility, we hadn't chosen a location, chose a location -- full assessment and study, got the location up and running two new IT systems started with the inventory, and started launching product out the door in January. So, it was a pretty aggressive schedule, which the team has done an outstanding job meeting, but I'd say we're right on schedule.
Josh Sullivan: Got it. And then just on the divestiture, how much of a cash usage was the Federal business, less or maybe over the last 12 months?
Steve Griffin: It's not that big of a cash usage per se. I mean you can look at the overall profitability of the business and just get a sense for how quickly it falls down, it's not that heavy of a balance sheet certainly by comparison to the fleet business and aviation business, which obviously carry inventory. So, I wouldn't necessarily think of it as a significant drag over the last 12 months or so. We're excited about that business having a really strong partner now with BCP, where they can kind of continue to grow the business, where we can also refocus our attention and time and efforts around the two higher margin higher growth opportunities in Aviation and Fleet.
Josh Sullivan: And then maybe just one last one, John, as you think about the long-term evolution of the company divestiture, the Federal business, what are the defining hurdles for kind of the optimal VSE assets as you go forward?
John Cuomo: Yeah, I mean like -- on our last page of our deck, we kind of highlighted near-term true priorities. I think the divestiture is really a critical one getting the business fully divested, coating this is a 63-year-old asset that was the core of the business with an outstanding team, and getting them to that nice -- that new home that they can go drive. So, that's a two-core businesses can focus that's the near-term and then is focusing on how do we continue to scale, what we have and the focus is going to be on differentiation. We'll do an Investor Day probably later this year and walk you through in more detail some of our core components of our model, but our core -- what I believe and kind of manage these businesses, my whole career is being narrow and deep and differentiating is what's going to drive sustainability and continuity of revenue and embedded this with our customers and suppliers and it's going to drive the margin expansion that we need and our investors expect. So, continue to see us, continue to fine-tune that value proposition and what that means in terms of products, services, and types of deals that we bring on with the business.
Josh Sullivan: Great. Thank you for the time.
Steve Griffin: Thank you.
John Cuomo: Thanks, Josh. Good to talk to you.
Operator: [Operator Instructions] Our next question comes from Michael Ciarmoli with Truist. Please go ahead.
Michael Ciarmoli: Hey guys, thanks for taking the follow-up, just a clarification. John, I think when you were answering Ken's question, the new facility in Memphis $50 million is that at 25% capacity. Did I hear that right? So, you technically got enough throughput there to do $200 million?
John Cuomo: I think, it's -- I think the $200 million is conservative. We can put through the shop.
Michael Ciarmoli: Okay, perfect. I just wanted to make sure I heard that right. Thank you very much.
John Cuomo: Sure.
Operator: There are no further questions at this time. So this concludes our question-and-answer session. I would like to turn the floor back over to John Cuomo, President and CEO for closing remarks.
John Cuomo: Thank you to our shareholders for your continued support. Thank you to all the VSE employees, it's a defining moment here and we'll spend some time with our teams today working through our communication, we appreciate it. Have a great day and look forward to speaking with you next quarter. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.